Operator: Good morning and welcome to the LTC Properties Inc. Third Quarter 2013 Conference Call. All participants will be in listen-only mode. (Operator Instructions) After today’s presentation, there will be an opportunity to ask questions. (Operator Instructions). I’d like to remind everyone that today’s comments including the question-and-answer session will include forward-looking statements. These statements are subject to risks and uncertainties that may cause actual results and events to differ materially. These risks and uncertainties are detailed in LTC Properties Inc.’s filings with the Securities and Exchange Commission, including the company’s 10-K dated December 31, 2012. Please also note this event is being recorded. I would now like to turn the conference over to Ms. Wendy Simpson. Please go ahead ma’am.
Wendy Simpson: Thank you. Good morning everyone and thank you for joining us today. Since, our last call, LTC has completed the initial funding of the Michigan deal the Florida sale leased back transaction and locked rate at 3.99% for $70 million of senior unsecured promissory notes. Additionally, we raised our monthly dividend by 9.7% to $0.17 per share per month or $2.04 per year. We are having a very successful year and see additional opportunity ahead. Right now, I will turn the call over to Pam Kessler, our Executive Vice President and Chief Financial Officer, who will provide more details of the 3.99% debt transaction. And to comment on our financial results and operator coverage statistics. Then Clint Malin, our Executive Vice President and Chief Investment Officer will talk about our active quarter and comment on how we view our pipeline and development activities. I will then have closing comments before opening the call for questions. Pam?
Pam Kessler: Thank you, Wendy. I’m going to be discussing third quarter compared to second quarter results. I refer you to the 10-Q that was filed yesterday for year-over-year results. During the third quarter, revenues increased approximately $400,000 primarily due to completed development projects. Interest expense decreased approximately $200,000 due to the pay-off of our line of credit with the proceeds from the May equity offering. General and administrative expenses decreased roughly $200,000 due to the timing of certain seasonal expenditures related to marketing conferences, proxy and the Annual Meeting that are traditionally higher in the second quarter than in the third. Last quarter I gave an approximate $2.6 million to $2.7 million run rate estimate for our G&A expense. I would like to point out that included in the G&A as a non-cash GAAP reserves for bad debt expense which typically doesn’t fluctuate much quarter-to-quarter. However, with the Michigan mortgage loan origination, fourth quarter bad debt expense will have a one-time increase of approximately $1.2 million which represents a 1% a year on the mortgage loan origination balance. I’ll refer you to our 10-K for a full description of this and our other accounting policies. During the third quarter we recognized a $2.6 million gain on a sale of six skilled nursing properties in Ohio. Net income available to common shareholders, increased $4.4 million in the third quarter primarily due to revenues from the development projects and the gain on sale. Normalized fully diluted FFO per share was $0.57 this quarter compared to $0.57 last quarter due to a higher weighted average shares outstanding in the third quarter than in the second quarter resulting from the May equity offering. Normalized fully diluted FAD per share was $0.56 this quarter compared to $0.57 last quarter due to the higher weighted average shares outstanding in the third quarter than in the second quarter. Turning to the balance sheet. During the third quarter, we invested approximately $7.9 million in development, redevelopment and capital improvements at a weighted average yield of approximately 9%. Capitalized interest for the quarter was approximately $200,000. We purchased two parcels of land in Colorado for a total of $2.1 million and entered to development commitments totaling $19.6 million to purchase the land and build two memory care community one with 60-unit and the other is 48-unit. We sold six skilled nursing properties as previously discussed. During the quarter, we funded $1.9 million under our construction loan and received approximately $500,000 in scheduled principle payments on mortgage loans receivable. During the quarter, we paid a $7 million on our liability that was previously reported and related to the purchase of four skilled nursing properties in 2011. At September 30th, our line of credit was undrawn. However, subsequent to September 30th, we borrowed $86 million under our line of credit and used cash on hand to fund the Michigan and Florida transactions announced last quarter. Therefore, we currently have $154 million available under our line of credit. Also subsequent to September 30th we lost rate at 3.99 and $70 million of senior unsecured notes under our Shelf agreement with Prudential. The notes will mature in eight years and have interest-only payments for the first two years and annual principal payments thereafter. We expect the sale of the notes to occur on or around November 20, and use proceeds to pay down the line of credit. After the sale of the notes to Prudential, we will have $30 million available under our Shelf Agreement with them. During the third quarter, we paid $17 million in preferred and common dividend. In discussing operator statistics, I’ll give the general caveat that these numbers come from our operators, they are un-audited and have not been independently verified by us. Additionally, the occupancy and lease coverage information is for the trailing 12 months second quarter 2013 compared to the trailing 12 months for the first quarter of 2013. Occupancy in our same property out portfolio was flat at 78%, excluding properties leased with Assisted Living Concepts and Extendicare, occupancy in our out-portfolio was 87%. EBIDTAR lease coverage after a 5% management fee was 1.4 times. Before management fee or EBIDTARM coverage was 1.7 times. Occupancy in our same property SNF portfolio was flat at 79%. EBIDTAR lease coverage after 5% management fee was 1. 8 times. Before management fee or EBIDTARM coverage for our SNF portfolio was 2.5 times. Occupancy in our same property range of care portfolio, which consists of properties that provide any combination of skilled nursing, assisted living, independent living and/or memory care services was 87%. EBITDAR lease coverage after 5% management fee was 1.4 times. Before management fee or EBITDARM coverage was 1.8 times. The underlying payor mix for the six months ended June 30, 2013 for our same property portfolio, which includes skilled nursing, assisted living, memory care, independent living and properties with a combination thereof was 59% private pay, 16% Medicare, and 25% Medicaid. Within our same property SNF portfolio, the underlying payor mix was 25% private pay, 28% Medicare and 47% Medicaid.
Wendy Simpson: Thank you, Pam. Clint?
Clint Malin: Thank you Wendy. Good morning everyone. The last 30 days has been quite productive for LTC from an investment perspective. On October 8, we announced our exclusive Development Pipeline Agreement with Anthem Memory Care and acquired two parcels of land in Colorado as Pam to fund construction of two free-standing private-pay memory care properties. On October 31st, we closed on our previously announced investment for the skilled nursing portfolio funding $126 million. On November 1st we closing our previously announced deal for the acquisition of a newly built skilled nursing facility in Florida funding $14.4 million. Additionally on November 1st our 77-unit combination assisted living and memory care development project in Wichita, Kansas leased to an affiliate of Oxford Senior Living opened with 18 resident deposits, of these 18 deposits, 6 residents moved into the community on the 1st. Our 2013, year-to-date investment activity for closed transactions and underwritten capital commitment totals approximately $170 million including the $12 million commitment for renovation to properties in the Michigan portfolio. In addition, we anticipate entering into one more development commitment for a private-pay memory care project prior to year end for approximately $10 million including land cost. Our 2013 investment activity is slightly ahead of guidance provided earlier in the year. Now turning to development projects which opened during the summer. Our 60-unit memory care property in Littleton, Colorado leased to Anthem continues its successful lease on. As of yesterday, the community’s occupancy was at 93% which is very impressive considering it has been opened for less than four months. Our 120-bed skilled nursing replacement property in Amarillo, Texas leased to an affiliate of Fundamental is at 73% occupancy with a 51% quality mixed based on census translating into an even higher revenue quality mix. Our next development project scheduled for completion is 106-bed skilled nursing replacement property in Wisconsin which will be operated by an affiliate of Fundamental. This project is anticipated to open early January and is currently on time and on budget. Now with our first exclusive development pipeline agreement in place, we have structured a mutually beneficial framework with Anthem Memory Care to help them strategically grow their company and continue adding purpose build free-standing memory care properties to our portfolio. This was an important step for LTC because it demonstrate success in execution of our strategy to grow our portfolio in memory care space. Furthermore, it is an investment vehicle to assist in maintaining a diversified balance in our portfolio between private-pay and government reimbursed assets and the revenues derive there from. We are pursuing similar type arrangements with other operators in our portfolio with the goal of aligning interest for mutual growth and feeding our development pipeline via master leased investments targeting private-pay seniors housing project. Our pipeline remains consistent and strong at the $200 million level consisting an sale leased back opportunities, new development projects as well as expansion and replacement projects within our portfolio, following the closing on our $141 million Michigan SNF investment. We continue to focus on acquisition opportunities for private-pay seniors housing properties to maintain diversification in our portfolio between private-pay and government reimbursed assets. However, outside of living fits and unique opportunities, we are currently seeing the pricing for acquisition in private-pay assets continues to be at a premium given the significant amount of capital chasing such investments. And our current market rate, cap rates such investments acquired in a triple-net lease structure yield little to no rent coverage at prices arguably in some cases in excess of replacement cost significantly increasing the risk profile of the investment. Therefore, we believe taking on constructional lease-up risk on a selective and prudent underwriting – on selective and prudent underwritten development projects and entering into such commitments at a measured pace provides our shareholders with a better risk adjusted return or adding new and modernized private-pay assets to our portfolio. In view of our investment pipeline in ever expanding marketing program, we are excited about the investment prospects for 2014. Now, I’ll turn the call back to Wendy for her comments.
Wendy Simpson: Thank you, Clint. Clint and I spent a lovely Saturday at Wichita, Kansas for the soft opening of the Assisted Living Memory Care Property financed by us and built and operated by Oxford Senior Living. I encourage you to look at the pictures we posted on our website. It’s a very impressive addition to that growing area of Wichita. Last month we held a Board Meeting in Cincinnati and were hosted by a fantastic group of operators and administrators from Carespring the operating company Carespring. We have the opportunity for our Board to tour the Indianspring facility and also to look at the 143-bed skilled nursing property that we’re building with Carespring in Kentucky. This $23.5 million building is projected to be completed near the end of the year. Currently I’m – at the end of the next year, sorry. Currently I’m encouraged by our pipeline opportunities. The sale leased back opportunities continue to be more skewed towards skilled nursing properties. But we’re looking at some deals that have assisted living and independent living components within the assets for sale. And as Clint mentioned, we continue to invest in building new memory care and combine assisted living memory care in targeted markets with embedded operators. We are ever closer to the lease renewal date of December 31st 2013 for the properties leased by Assisted Living Concepts and extended care. We continue to talk to interested operators about possibly leasing these properties but we have not traded information with any outside party who would be a potential operator. We do have plans in place to begin the process of offering these properties to new operators but our mindful of the December 31st date and do not want to cause the new management team at assisted living, any additional household, while they work to turn around their company. I sincerely believe the 12 months we have in 2014 to address the future of these assets will be adequate for Assisted Living Concepts and LTC to properly position these properties for both companies and more importantly for the employees in residence of the properties. As for guidance for the year assuming no additional accretive deals before year end I expect our normalized FFO will be between 235 and 237 which is the same range I provided last quarter. I’m not prepared to give 2014 guidance at this time. We look forward to adding to our FFO by converting some deals in our pipeline and continuing to build our relationships with our operators and new operators we are meeting. Thank you for taking time today to listen. And I will now open it up for questions. Rocco?
Operator: Thank you ma’am. We will now begin the question and answer session. (Operator Instructions) Our first question comes from Michael Carroll of RBC Capital Markets. Please go ahead.
Michael Carroll – RBC Capital Markets: Thank you. Hey Wendy, the ALC does the underlining coverage ratios now include all the increased costs and how quickly could we expect this ratios to rebound as a sense of these assets begin to improve?
Pam Kessler: Hi Mike its Pam. It does include the full four quarters now. Last quarter it only included three quarters of the full cost. So, in terms of the turning around I think that’s a little bit more difficult to predict because it’s really going to depend how fast they can increase occupancy and therefore revenues but I think the costs are fully loaded now. I wouldn’t expect much more additional costs.
Michael Carroll – RBC Capital Markets: Okay. What’s the occupancy rate, I guess currently versus 12 months ago, do you have that number?
Pam Kessler: The current occupancy and I believe it is pretty flat. The current occupancy 60, roughly 60% and a year ago was roughly that as well. I mean it’s about between 60% and 65%
Michael Carroll – RBC Capital Markets: Okay. And then Pam have you had any discussions with the credit rating agencies recently and could we expect rating to occur in 2014 or is that still some time away?
Pam Kessler: I think that’s still sometime away. As we get closer to the $2 billion market cap point that’s when we would begin the discussion or to do it before than would be not that productive. I mean we talk to them but there is that hurdle that we got across and so right now considering our investment pace the Prudential Shelf Agreement and also the private placement market is really a sweet spot for us because we can borrow – to do investment grade bond deals of minimum sizes about $250 million. We just don’t have the need for that much all at once. So to do a private placement at $75 to $100 million that’s a really nice size for us and the pricing is very competitive as we can see.
Michael Carroll – RBC Capital Markets: Okay. And then why did you decided to go through I guess prudential on the shelf versus doing a private placement like you have done previously?
Pam Kessler: It was really opportunistic. We had that little window where rates pop down and with them since its already underwritten they just have to do some bring down due diligence the execution is much faster. It basically can be done in a couple of days. So we had the need for it, the market timing was right so we did that. As we’ve discussed before going into next year there will be a need probably to do some more and that might be done under a hopefully marketed deal. There is not a timing pressure on that but do have commitments out there for development in 2014 that we would like to fund our long term our rates are still low. And we were being told like by our advisors that this year the people who are buying private bonds are pretty full up…
Wendy Simpson: Yeah. It was below 5 this year.
Pam Kessler: Kind of wait until January when they start their magic date of December 31st.
Wendy Simpson: Yeah, maybe it’s a…
Pam Kessler: It’s a price got to get past and then people have the next day somehow money appears. So, we were advised that it would probably be best to wait until 2014 to go into the public market and prudential sharpen their pencil for us and got us the really good deal.
Michael Carroll – RBC Capital Markets: Okay, great. And then my last question. Clint, what’s included in that $200 million investment pipeline are there any of the pending deals still included in that number?
Clint Malin: No.
Michael Carroll – RBC Capital Markets: So these are all new deals that you are still working on that will probably close within well sometime in 2014?
Clint Malin: Yeah these are things that we’ve been working on towards 2014, yeah.
Michael Carroll – RBC Capital Markets: Okay, great. Thank you.
Pam Kessler: Thank you Mike.
Clint Malin: Thank you.
Operator: Our next question comes from Karin Ford of KeyBanc. Please go ahead.
Karin Ford – KeyBanc: Hi good morning. Just wanted to ask about portfolio allocation skilled nursing is now I guess 58% of your revenue today. And you talked about the challenges on the competition side in finding and sourcing house acquisitions and of course the memory care development side that it takes a little bit more time, because that sort of put you in a little bit of a box given I guess your goal not to be too over exposed on the skilled nursing front. Will that potentially limit your ability to acquire next year just because you’re not looking to push that 58% number up significantly higher?
Pam Kessler: We haven’t set a particular percentage of what we would want our assisted living. We just like to have it more balanced but if we get a fantastic deal that’s a skilled nursing portfolio we’re not going to turn that down. So we could have, we could go above the 58%.
Clint Malin: Good way to – Karin, this is Clint, good way to acquaint that is looking back a few years back when we were doing, pursing acquisition opportunities in Texas. At that point in time it skewed us little bit higher on concentration in Texas. But since then through development, acquisition we’ve been able to bring down our concentration in Texas. So, I think we look at the right opportunity in the skilled space to capitalize on that when the opportunity present itself and then overtime to be able to go ahead and realign that allocation between the two asset types.
Karin Ford – KeyBanc: Is there an upper boundary that you are comfortable – you wouldn’t be comfortable going above?
Pam Kessler: We haven’t established that yet, that’s something I suppose we should sit down and determine but we really haven’t discussed it yet.
Karin Ford – KeyBanc: Okay thanks and just my next question just on new supply in both assisted living and memory care. Are you guys taking a hard look at that as you’re underwriting new deals and where are you seeing potential pressure from new supply in your pipeline?
Clint Malin: No, we’re actually cognizant of that because as we go to conferences and field phone calls and then conversations with customers as we’re trying to market and look for opportunities it’s something that’s talked about. So we’re always cognizant of what’s happening and there is a lot more activity on the development side. So we’re very strategic and we spend a lot time in the market place and partner with companies that understand the market places. Texas has definitely been a state that has been on the radar screen as far as increased development. I’ve heard through the rumor that at Florida as well although we’ve not spend a lot of time looking at opportunities in Florida, Arizona is another state which has a lot of developments undergoing and also just being talked about in general. Colorado has had a fair amount but we’re actively participating in that and we’ve partnered with a company who has been involved in that market place for four or five years and really understands the market. So, we’re very careful in going into markets in the development side.
Karin Ford – KeyBanc: Okay thank you.
Pam Kessler: Thank you Karin.
Operator: (Operator Instructions) I’m sure there are no further questions at this time. So, I’d like to turn the conference back over to Ms. Wendy Simpson, for any final remarks.
Wendy Simpson: Thank you, Rocco. And thank you, everyone for listening to our call this morning. And we look forward to talk about a great year end. Thank you. Have a great day.
Operator: And thank you for your time Ma’am. The conference is now concluded. And we thank you all for attending today’s presentation. You may now disconnect your lines. And have a wonderful day.